Operator: Good morning ladies and gentlemen. Welcome to the TELUS Third Quarter 2007 Earnings Conference Call. I would like to introduce your Chairperson, Mr. John Wheeler, Vice President of TELUS Investor Relations. Go ahead please.
John Wheeler - Vice President of Investor Relations: [audio gap] materially from statements made today. So do not place undue reliance on them. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and filings with Securities Commission in Canada and United States. Now over to Darren, on slide 3.
Darren Entwistle - Chief Executive Officer and President: Thanks John. Good morning and thank you for joining us today. I am pleased to report that TELUS's third quarter 2007 was a marked improvement compared to the second quarter, although still not to the standard that I expect from our organization. Our improved performance this quarter is due to a more deliberate operating focus that I promised investors three months ago and I am encouraged that TELUS is making significant progress in returning operations to normal. Let me begin with TELUS's wireline results on slide 4. TELUS's revenue performance continues to demonstrate resilience in the competitive wireline market. Notably, data revenue continued to be strong up 9% this quarter across an array of services. Once again TELUS experienced only moderate network access line losses at 3%. I'm also pleased to note that TELUS made good progress in the third quarter with the continued implementation of our major IT investment in Alberta that consolidates multiple order entry and billing systems down to one customer care platform. As you may recall from last quarter certainly I do, the full scale transition of more than 1 million residential customers to this new system resulted in difficulties that seriously reduced our ability to process new orders. Not withstanding this, TELUS has remained successful in the critical function of processing and issuing client's bills. In the third quarter, we made significant strides in overcoming TELUS's temporary challenges on the IT front. As evident by the 50% sequential reduction in our extra billing system cost to $8 million this quarter. Moreover the remediation of our order fulfillment difficulties allowed us to renew our marketing efforts in the province of Alberta. As a result we doubled the number of net customer additions for high speed internet services in the third quarter as compared to the second. It is important to note that TELUS is the first Telco in North America and a global leader in consolidating multiple legacy systems down to unified customer care platform. The long-term benefits of this new innovative IT system include greater consumer satisfaction and retention as well as faster and more efficient product development. With the challenges of the Alberta implementation largely behind us, we are focused on learning from this experience and smoothly rolling out the system in British Columbia next year. Turning to our wireline EBITDA, our quarterly performance also improved. However EBITDA was still down 3% on a year-over-year basis. As you know my goal is to keep wireline EBITDA stable over the course of the years ahead thereby maximizing TELUS's significant exposure to the growth dynamic of the Canadian wireless industry. To achieve this goal, TELUS must deliver continued growth in wireline data, accelerate profitability in Central Canada, augment the realization of cost efficiencies, and leverage bundling, and royalty programs, and product development from our enhanced IT systems in a forborne environment. Turning to slide 5, let us examine TELUS's wireless results for the third quarter. The continued strength in our data applications combined with improved marketing and retention efficiencies are the key drivers for the sequential improvement in our wireless operations. TELUS experienced revenue growth of 9% this quarter compared to a year ago based on an 11% increase in the wireless customer base as well as a 56% increase in data revenue. TELUS continues to generate higher than normal growth customer additions, which were up 9%, and strong wireless net additions this quarter, which were based on moderate cost of customer acquisition and retention. Notably, as the result on a sequential basis these costs were reduced by $29 million this quarter. Moreover, TELUS's stronger customer retention is reflected by a solid churn rate of 1.43% this quarter with the settling in of member portability, as a business as usual feature of our industry. Finally TELUS's wireless EBITDA margin of 47% represents a recovery of 4 basis points from the second quarter of 2007. Obviously TELUS did face one disappointment this quarter with respect to the 1% decline in ARPU to $64.80. This is the first decrease in quarterly ARPU following a remarkable 18 consecutive quarters of year-over-year growth. And it can be attributed to the very competitive pricing, we are facing in a 15 brand wireless industry in Canada. Bob will provide more details of the many factors that have impacted TELUS's ARPU in his part of this morning's presentation. While the wireless business is on sound footing TELUS is carrying back our 2007 output for the year based on the challenges that we faced in the second quarter, and our inability to over achieve in the second half of the year to ameliorate fully this shortfall. Let me now turn to some significant regulatory developments beginning with wireline as set out on slide 6. First on August 3rd, the CRTC issued a decision on local forbearance eliminating the regulation of residential phone services in 6 of our large urban markets in British Columbia, Alberta, and Eastern Quebec. Second, the CRTC also eliminated the regulation of business services in the same six markets affecting approximately two-thirds of top TELUS'S total business lines. Third, an essential services hearing is underway that has the potential to reduce uncompetitive and restrictive regulations for our wholesale business. And a decision in this regard is expected in the first half of 2008. These recent moves reinforced Industry Canada's Policy direction to foster sustainable competition. Fundamentally, deregulation is providing TELUS with a more level playing field and the competitive tools not formulated in our repertoire, which will enhance competition, and benefit customers, and shareholders alike. Specifically through forbearance this year we have gained pricing flexibility, the increased stability to bundle, bring back role parity, add an ability to operate more efficiently and effectively by simplifying our wireline product portfolio and enhancing the overall client experience. The next slide shows clearly the magnitude of the impact of deregulation on TELUS's wireline revenue composite. As illustrated the deregulated revenue portion now subject to competitive flexibility has almost doubled to 72%. Let's now turn to slide 8 for a look at regulatory developments on the wireless front. Whilst the Canadian Government has made significant strides in liberalizing the regulatory framework for Canada's wireline industry, we find it curious that the government is even considering taking the opposite approach in the likely regulated wireless industry specifically in respect of the impending decision for the rules for the advanced wireless spectrum auction expected to be held in 2008. As many observers have noted the Canadian wireless industry is indeed a remarkable success story. The three national players have significantly invested in the industry that is characterized by vibrant competition and as well constant innovation. Let me make three clear observations. One, the government issued a directive last year to the CRTC to rely on market forces to the maximum extent feasible and to ensure technological and competitive neutrality in their actions. Two, the Competition Bureau in 2004 ruled that having three national facilities based wireless carriers was appropriately competitive for Canada. This view has since been reaffirmed by the CRTC in the year that ensued. Finally ongoing decline in voice ARPU demonstrates clearly the competitive intensity of the Canadian wireless market. Taking into account these three points, my view clearly is that the government does not need to deviate from their established policy direction. But rather embrace its own doctrine and proceed with a fair and open auction process with the same rules applying to all participants. Turning to slide 9, let's examine our consolidated results for the third quarter. In the third quarter TELUS delivered revenue growth of 5% demonstrating the strength of our business strategy that focuses on the growth tenants of wireless and data in the Canadian domestic market. EBITDA was up 3% to $980 million driven in principle by our wireless operations which generated 8% growth. Focusing on TELUS' bottom-line earnings per share were up 32% due to lower financing charges and increase in income tax recoveries and as well lower shares outstanding as a result of our continuing NCIB programs. If we normalize EPS for tax recoveries TELUS still generated a healthy 11% increase in EPS on a year-over-year basis. This quarter we experienced an improving trend from a difficult second quarter. However, the year-to-date results have required us to adjust our full year consolidated guidance. We are revising slightly downward our annual revenue range by up to 1%. In addition we are narrowing the EBITDA guidance towards the lower half of our original target range. On a more positive note based on the tax recoveries TELUS is increasing the estimated EPS range up to $3.65 for the 2007 financial year. Consistent with our robust cash flow position and with over $500 million of cash being generated this quarter, we continue to execute on our long standing commitment to invest in our core business and as well simultaneously to return cash to investors. As shown on slide 10, we executed on our Normal Course Issuer Bid in the third quarter and repurchased 4.3 million TELUS shares at $232 million. Since December 2004, TELUS has repurchased and cancelled nearly 50 million shares some 1/7 of the shares outstanding for $2.4 billion in totality. I am pleased to announce today a 20% increase in the quarterly dividend to $0.45 per quarter payable on 1st of January 2008. This is the fourth successive double-digit increase under our dividend growth model and pay-out guidelines. In conclusion I am encouraged that TELUS addressed the short-term operating challenges we faced at the mid point of 2007. The third quarter results demonstrate unequivocally our improved execution but they also demonstrate the challenges that we still need to answer if we are to continue advancing our growth strategy at the pace investors have come to expect from this organization. TELUS remains determined to take the action necessary that creates value and value growth for investors in the years ahead. Let me now turn the call over to Bob to provide additional details for you.
Robert McFarlane - Chief Financial Officer and Executive Vice President: Great. Thank you, Darren and excuse me, good morning everyone. Let me begin the financial results review with our wireless segment beginning on slide 12. As Darren mentioned third quarter results were a marked recovery from the second quarter, wireless revenues were up 9.4% as growth in subscribers was partially offset by slightly lower revenue for customer, reported EBITDA increased by 8% due to higher network revenue growth partially offset by increased network operating expenses resulting in part from higher revenue sharing with third party data content providers. Improved trends were experienced with cost of acquisition and cost of retention, as they were sequentially lower, which led to a rebound in EBITDA margins to 47% of total revenue. The increase in CapEx this quarter was mostly due to network enhancements in capacity and coverage. Our EVDO Rev A high speed network now covers roughly two thirds of Canada's population. Turning to slide 13, wireless net additions were stable year-over-year, TELUS added a 135,000 total subscribers in the quarter generated by 9% growth in gross additions despite reporting as just mentioned, sequential and year-over-year reductions in marketing and retention cost. Prepaid net additions increased 27% to 36,000 from a year ago while postpaid net addition of 98,000 were down 10% year-over-year. Postpaid additions represented 73% of TELUS's total net ads in the third quarter and the overall subscriber mix remains at 80% postpaid and 20% prepaid. Slide 14 shows the change in wireless ARPU year-over-year. Overall ARPU decreased by $0.87, or 1.3% year-over-year to $64.80, due to a decline in voice ARPU, which I'll elaborate on in a moment. TELUS's wireless data ARPU increased by more than $2 to $7.20 now representing 11% of total ARPU. The potential for continued strong wireless data growth remains very positive given the increasing penetration of EVDO capable devices in our subscriber base, as well as the expected introduction of higher bandwidth applications and devices given the recent deployment of EVDO Rev A. Now let's look at the factors affecting ARPU on the next slide. While data revenues are growing strongly, voice ARPU continued to reflect the realties of today's competitive market. On the positive side, data is being driven by increased usage and adoption and the migration of formerly voice-centric subscribers to more fully featured PDA's, and EVDO capable handsets. However, TELUS's voice ARPU is facing headwinds from several directions. First, is a function of our product mix given our successful prepaid loading, and our maturing mike subscriber platform both of which generate lower date ARPUs than postpaid PCS subscribers. Voice ARPU is also declining, as consumers use more In-bucket plan minutes, so while minutes of use are MLU relatively flat year-over-year, we experienced lower chargeable minutes, which reflects competitive pricing pressures especially in the business, and discount markets. Roaming growth on a per unit basis also decreased partially as a result of few American visits to Canada due to the U.S. dollar exchange rate. So taking a step back to look at the broader picture, despite the first year-over-year ARPU decrease in 4.5 years, total wireless network revenue growth continued to be strong at close to 10% in quarter and 12% year-to-date. Slide 16 provides a review of churn levels against our industry peers. Although third quarter blended monthly churn increased slightly by 7 basis points on a year-over-year basis to 1.43%, churn has stabilized post W&T [ph] introduction in March, and actually decreased a couple of points sequentially. Postpaid churn was 1.05% where as prepaid churn was 2.95%. As shown TELUS continues to achieve near best-in-class wireless churn levels when compared to our North American peers. Slide 17 summarizes the sequential improvement in our wireless operating metrics. TELUS management is focused on restoring growth to targeted levels following the commercial shutdown of Amp'd earlier this year, demonstrating improved efficiency in our wireless marketing spending, we achieved a 9% increase in growth of subscriber editions, despite cost of acquisition per gross addition or COA for short being down 2%, year-over-year, and down a 11% sequentially to $379. Retention spending as a percentage of network revenue decreased both the year-over-year, and sequentially by 0.4 points and 1.9 points respectively to 6.3% of network revenues. All the while TELUS maintained a low churn rate, and continued to reap contract high value clients. As a result, EBITDA margins improved by 4.1 point sequentially to 47% of total revenues. As shown on slide 18 we are tweaking our original 2007 wireless annual targets to reflect year-to-date results, and our outlook for the rest of the year. The wireless revenue guidance range has been narrowed and adjusted lower by 1% to 2% to $4.275 billion to $4.3 billion. EBITDA guidance has also been narrowed and lowered slightly by $25 million and $50 million to $1.925 billion to $1.95 billion. Again as a reminder for apples-to-apples comparability purposes, EBITDA targets continued to be adjusted to exclude the impact of the accounting expense for the net cash settlement of pre-2005 options. With the EVDO Rev A rollout largely complete, we are on track to meet our annual wireless CapEx guidance of approximately $550 million. Wireless subscriber net ads has also been lowered by 20,000 to approximately 5,30,000 reflecting year-to-date additions and consistent with last years result. Now let's turn to a review of the wireline side of our business starting on slide 19. Revenues remain relatively stable and we will analyze this in more detail in a moment on the next slide. EBITDA is adjusted to exclude the impact of share compensation expenses and recoveries related to our net cash settlement program was negative 2.7%. In this quarter, we recorded an expense recovery for wireline of $9.5 million in the third quarter of 2007 in respect of a catch up for reversing previously booked share compensation expense on options that subsequently were forfeited. Meanwhile capital expenditures were slightly lower in the third quarter of 2007 reflecting a decrease in capitalized billing and Client Care System development expenditures. We continued to invest upfront to support new enterprise customer wins in Central Canada, as well as make investments in enhanced broadband and network access growth. Slide 20 looks at the components of wireline revenue growth. Local and long-distance revenue declines are reflective of the continued competitive environment and substitution from wireless, and VoIP, as well as reduced revenues from moves, adds and changes. These revenue declines were fully offset by increases in data and other revenues. Strong year-over-year growth and high speed internet plus increased managed data revenues on the business side led to nearly 9% data revenue growth. Favorable decisions by the CRTC on quality of service exclusion applications and increased equipment sales contributed to other revenue growth. Now let's turn to slide 21 and take a deeper look at wireline EBITDA and in this case EBITDA adjusted for an expense recovery due to the forfeiture of previously expensed cash settled options. As mentioned, the new billing and client care system had a reduced impact this quarter. Encouragingly backlogs has been shortened significantly and extra resources to support IT operations were reduced. And as Darren mentioned earlier, we continue to have accurate and timely bills with no long-term issues that companies often experience with such major system conversions. Having said that, expenses in the third quarter included $8 million of incremental labor expenses related to the new system in order to maintain provisioning and service levels. This is an approximate 50% reduction from Q2, so we are making substantial progress in returning the business at usual levels. Adjusting further for a reduction in a provision for quality of service rate rebates of approximately $5 million recorded in other revenue due to favorable decisions by the CRTC underlying wireline EBITDA would have been down to 2.1%. Clearly profitability in the wireline business remains challenging as we expected and we must continue to take initiatives to address it. Let's move to slide 22 and examine high speed internet. As you may recall the order backlog issues in the IT system implementation Alberta had a big impact on high speed internet ads in Q2 '07 when we had negative additions in the province of Alberta and only 14,000 positive additions on a consolidated basis. However the progress in returning to business as usual our new billing system allowed to return to marketing DSL service in Alberta over the course of the third quarter. So overall net additions rebounded to 31,000 and under the circumstances we are pleased with this renewed momentum. Nevertheless we need to lower our full year 2007 high speed net addition guidance to reflect the slowdown experienced year-to-date. Our high speed internet subscriber base stood at 994,000 at the end of the quarter up 14% from a year ago. The next slide highlights our network access line performance trend. Residential line losses in the third quarter were 42,000, a decrease of 5.9% year-over-year. This reflects continued competitive activity including the rollout of cable telephony service in many of our markets over the past year as well as wireless substitutions. However, this decline in residential lines was partially offset by a 1.7% increase in business lines resulting in a consistent overall line loss of 3% annually. Now, to conclude wireline on slide 24, we have made minor updates to TELUS' 2007 wireline guidance to reflect our results to date and our outlook for the rest of the year. Revenue has been tightened towards the lower end of our previous range. EBITDA has also been tightened toward the higher end of the range reflecting our continued focus on efficiency and partly as a result of lower than expected restructuring cost. CapEx guidance is unchanged and due in part to the impact of the IT system and Alberta unloading. As mentioned we are lowering our high speed internet net adds to approximately 110,000. So putting it all together lets look at TELUS on a consolidated basis starting on slide 25. Consolidated revenue in the third quarter grew 4.5% and EBITDA as adjusted rose almost 3%. EPS increased 31% which includes a positive $0.28 adjustment for tax related matters this quarter. When excluding the positive tax adjustments in this period as well as the $0.09 impact in the third quarter of 2006, underlying EPS increased 11% year-over-year. CapEx remained stable as there is only a small increase of just over 2% due to increased wireless investment. So as you can see TELUS has rebounded from the disappointing second quarter results and let me elaborate on the drivers behind the EPS growth on the next slide. This slide provides a detailed breakdown of the components of the $0.30 year-over-increase in reported EPS. Underlying adjusted EBITDA growth generated $0.06 in earnings growth. Higher depreciation and amortization expenses primarily related to the new Alberta consumer billing system that went in to service in Q2 '07 as well as reduced asset life through certain other assets reduced EPS by $0.04. Continuing down the income statement lower financing expenses contributed $0.03 to the improvement. Incremental tax impacts were the largest contributor to EPS growth and were a net $0.19 when accounting for the $0.28 positive contribution this quarter as compared to the $0.09 positive adjustment in the same quarter last year. Other items added $0.05 including a lower average number of outstanding shares due to our share repurchase program. To get to reported EPS, we add an additional $0.01 for expense recoveries due to the forfeitures of previously expensed net cash settled options. Taken together both reported and underlined EPS growth, were strong this quarter. Slide 27, summarizes our total share repurchases in the quarter and historically since we first began buying back shares in December 2004. We remained active in the market in third quarter repurchasing a total of 4.3 million TELUS shares for $232 million. This brings TELUS' aggregate share repurchases since inception of the NCIB program to nearly 50 million shares for $2.4 billion. Importantly for investors this has led to an 8.7% or 31 million reduction in the total shares outstanding over this period despite shares issued for option exercises and other dilution in previous years. Notably TELUS's innovative move to the tax efficient net cash settlement method for past options beginning in 2007 has accelerated the impact of share repurchases on reducing the number of shares outstanding. Outstanding shares are now down 3.9% year-over-year. The next slide, which many of you maybe familiar with highlights our strong record of returning capital to shareholders expressed on a per share basis and this continued today. As Darren mentioned the TELUS Board has approved a 20% increase in the quarterly dividend of $0.45. This represents the fourth consecutive substantial annual increase and it's consistent with our targeted payout ratio guideline. Turning back to 2007, we can see that this year the combination of $1.50 dividend and estimated share repurchases for the year based on annualizing our existing buyback run rate puts us on track to return almost $4 per share of capital to shareholders. What is clear on this slide is that TELUS's strong free cash flow profile is allowing TELUS to deliver on our continuing commitment to invest for the ongoing growth in our core businesses while returning excess capital to investors in significant amounts. Now to conclude on slide 29, today we are making minor changes to our consolidated guidance to reflect the revisions to our outlook for the wireless and wireline segments. Our consolidated revenue guidance range is being tightened and lowered slightly. We are also tightening our EBITDA guidance towards the lower end of the original guidance range set in December of last year. Our EPS guidance range has increased by $0.20 to $0.30 to reflect amongst other items, the 28% positive tax impact recognized this quarter. Again for comparability purposes EBITDA and EPS targets continue to be adjusted to exclude the impact of the accounting expense for the net cash settlement of pre-2005 options. Consolidated CapEx remains unchanged at $1.75 billion. In summary, as shown in the right hand column, we continue to expect good year-over-year revenue and earnings growth. So with that, we would be pleased to answer your questions. So I will turn the call back over to John Wheeler to start the Q&A.
John Wheeler - Vice President of Investor Relations: Thanks Bob. Just before I turn the call over to Ron to conduct the Q&A session, can I ask your cooperation once again for one question at a time please so we can get through the people in the queue. Ron, please proceed. Question And Answer
Operator: [Operator Instructions]. And the first question is from Peter MacDonald at GMP Securities. Go ahead please.
Peter MacDonald - GMP Securities: Thanks. I am looking for some more clarity on the ARPU. You pointed to greater pre-paid mix, lower iDEN, and greater mix of included minutes and pricing. So, I guess what I am looking for is some sort of waiting between those lines and also the prepaid, postpaid mix, is that a pricing mix, because when you look at the year-over-year total number of prepaid versus postpaid, that number stays pretty consistent? And then last, is there a way that we can quantify the iDEN, contribution, what's happening on the sub-voting, and is there a way that we can look at the impact over the next couple of years from now? Thanks.
Darren Entwistle - Chief Executive Officer and President: Thanks Peter. In terms of weighted type of comp set, clearly I think from competitive reasons, it wouldn't be prudent for us to provide that. In respect to the prepaid and post paid. I think the point there goes to prepaid subscribers, everyone knows carry a lower ARPU, and in our case roughly $25, which is quite good going in respect of prepaid subscribers. And so there is value added in adding of subscribers. But clearly they generate a lower ARPU. They also generate a lower data ARPU. It's part of why it's a lower total ARPU, and the data ARPU in terms of increases, increasing less than it is for postpaid. I think that probably makes intuitive sense but, so in a quarter such as in the third quarter where the proportion of prepaid that we added 27% total of net adds was greater than the 20% in a cumulative base. I think there was an impact, as well in terms of overall ARPU. In terms of iDEN, we don't give the specific numbers on that, I would say that it continues to be a positive product and service for our company. Certainly, we are significantly... in a significantly different situation than the Sprint Nextel organization in United States and that we never really marketed the Mike branded item service in Canada towards the consumer segment quite in contrast to what has been done in some strategies down. So, we really don't have that same dynamic occurring here. We certainly don't have the spectrum capacity issues and other issues that are confronting the Sprint organization in that respect. Having said that, there certainly isn't a growth segment for our organization and because of the data upgrade path not being similar to that of EVDO or EVDO Rev A, the more data centric subscribers are more in a post paid systems. So given that data is the real growth element in the market for overall ARPU and data is a less relevant growth area for iDEN therefore that maturing aspect is a... is a factor in terms of influencing overall ARPU. Particularly as analysts like to express wireless data, as a percent of overall consolidated ARPU hours is 11%, certainly it's been increasing, but one of the reasons would be lower than certain other competitor would be the fact that we do have a Mike subscriber base that doesn't generate a similar data ARPU as PCS postpaid would. Having said that of course they do generate significant push-to-talk revenues, which postpaid don't provide either, so before you look at the glass being half empty, it's also half-full.
John Wheeler - Vice President of Investor Relations: Okay, next question please
Operator: Thank you, the next question is from Greg MacDonald from National Bank Financial. Go ahead please.
Greg MacDonald - National Bank Financial: Okay, thanks. I think I will try and add on to that. I wonder Bob, if I can just drill into this issue on ARPU, out of the Mike product a little bit more. Can you say whether you are actually experiencing ARPU decreases in that segment, and give us a sense of what that is, I am getting the sense that the Mike issue relative to total ARPU is the issue and I can appreciate that you don't want share too much with your competitors but we are all trying to get a better sense of what the real ARPU risk is here, i.e. what the recurring nature of the negative 1.2% was on a year-over-year basis, so is there anything more that you can give us on what's actually happening with Mike ARPU?
Robert McFarlane - Chief Financial Officer and Executive Vice President: Greg, what I can say is. And we showed on the slide, I have forgotten the exact number, but the ARPU slide with the split between the voice, and the data component. So you can see in the disclosure the voice ARPU going down. So I think, if you look at it from a service perspective, component perspective, voice going down is the reason our overall ARPU went down, because the voice exceeded the data. The voice is down regardless of platform, whether it's Mike or whether it's PCS. So that I can tell you. The data is up much more on PCS than it is on Mike, so from that perspective, the tradeoff is more generous in terms of PCS, but that's about as far as I will go on that. Okay, next question please.
Operator: Thank you. The next question is from Peter Rhamey from BMO Capital Markets. Go ahead please.
Peter Rhamey - BMO Capital Markets: I just want to change tact here. It is a good job of reducing retention spend below my expectations of a higher spend in Q2 and COA is down, and I am wondering whether this represents the new running rate for the company on a go-forward basis, or should we be expecting that or it could be quite more volatile here depending on what's going on in the market place, thank you?
Robert McFarlane - Chief Financial Officer and Executive Vice President: Well Peter, I think lets go back just to this Q2. And at the time in Q2, you may recall when we are having similar conversations on our results at that time, people noted that the retention in COA were up and churn was up as a matter of fact as well. ARPU was up, so no one talked about ARPU as I recollect, so its funny how things change in three months. First two questions are ARPU not on COA, and retentions, so thank you for turning it to that topic but back in the second quarter we said, look WNP has just been implemented and it was a dramatic change in the industry and people didn't want to be caught flatfooted, and so we were aggressive in terms of retention, and acquisition activities, and unfortunately that did impinge on the margins in that quarter. I recollect Darren saying that we felt we could do better and in that regard, be more productive or more efficient if you will on a go-forward basis. Lo and behold the third quarter has come in and not only did we improve on the second quarter, we improved on the prior year in that regard. And the subscriber ads were consistent overall with last year despite the lower stem. So from that standpoint, you have to conclude that, yes it is pretty good going. I mean if we lower the COA, and our sub-ads fell through the floor that would be a different situation. That's not the case here. So, I think that worked well, and we delivered upon an objective of improving our margins. On a go-forward basis in respect of the fourth quarter, clearly the fourth quarter is generally 40% net adds of the year for the industry, so it's the big selling season. And to signal to our competitors, what we are going to do in the last two months of the year when a fact about 35% of the annualized are done in the final two months. I don't think it would be prudent, but suffice to say this organization has always prioritized profitable growth, but at a reasonable market share. And so we will be... we will be looking to see how the splits turn out and I think there is certain implications for the industry and we will see what our competitors actions are as to how greedy, or responsible they are in the fourth quarter.
John Wheeler - Vice President of Investor Relations: Okay, thanks Bob. Next question please Ron.
Operator: Okay, thank you. The next question is from Vince Valentini from TD Newcrest. Go ahead please.
Vince Valentini - TD Newcrest: Yes, thank you very much. Surely you will come back to ARPU, but one thing that really stands out for me, I am hoping you can shed some light on it, is the minutes of use. I mean, even though you have bigger buckets, the overall minutes of use as you said were just flat. Roger's reported yesterday an 8% increase in minutes of use. It seems to be a bit night and day. Can you comment on what you see happening in terms of your subscriber base to drive the lower usage, and just a clarification on the data ARPU, if you do back out the Mike and back out the prepaid you guys report your data a little differently than some of your peers and if you look at just postpaid data ARPU, do you think your ARPU would be more comparable to peers in sort of $10 range versus the $7 figure you reported?
Robert McFarlane - Chief Financial Officer and Executive Vice President: Boy, I thought we disclosed a lot, but it only goes to show you can never satisfy everyone all the time when it comes to disclosure. What I can't say on the data ARPU is directionally you are correct. It is significantly higher than our average that is the data ARPU on the postpaid PCS is clearly significantly higher and would be comparable with some other firms. Although having said that, I do believe that there is still a great opportunity for improvement whether it's PCS pre-post, or Mike. I think we certainly have opportunities to raise the bar, and I think we have a good outlook in that regard. In terms of MOU's, it's hard for me to comment about competitors. What I can say is that in terms of MOU's driving ARPU, there is really couple of considerations to keep in mind. It's not just your total MOU, it's your billable MOU, and so the extent to what's been included in a bucket if you will doesn't drive incrementally the variable. It usually it comes depends upon the ratio relative to the fixed fee you are charging for that bucket. Secondly, we are experiencing industry wide some substitution from data for ARPU as messaging obviously substituting to an extent for local and LD calls actually. So it is hard for me to comment about the competitors, but clearly in our case the real driver in terms of the voice ARPU being down is re-price due to competitive actions in the marketplace and the increased number of minutes that are included in bundles.
Vince Valentini - TD Newcrest: Thanks Bob.
John Wheeler - Vice President of Investor Relations: Next question please.
Operator: The next question is from Glen Campbell from Merrill Lynch. Go ahead please.
Glen Campbell - Merrill Lynch: Yes. Thanks very much. A question for Darren you got a trial going on fibre-to-the-home overbuild in 8 communities on a very small scale. Could you talk a little bit about what you are hoping to learn there and whether you think there is a possibility that the economics might look better for that project and say what we are hearing from Verizon with their fibre-to-the-home? Thanks.
Darren Entwistle - Chief Executive Officer and President: I think it's incumbent upon us to always try new technologies and new accessed network topologies. And so in terms of our GPON trial, it is a learning exercise for us to determine can we deployed fibre efficiently and effectively to a new neighborhood, and can we do the same as it relates to apartment buildings. We also need to become proficient at the deployment of equipment, as it relates to light-to-electrical conversion. It's also important to deploy from a trial perspective, and from a learning perspective new technologies where standards are not yet established. And you should be aware that on the GPON front our standards are not yet established. So for us to get ahead of the curve from a learning perspective, I think it's something worth doing for this organization. And it's no different than our approach on the wireless front. Just it is increment upon this organization to remain on top of new technologies, the manner in which they are deployed, what they can deliver, in terms of a functionality and product set to customers and whether we can do that in a way that allows us to realize a decent payback and economic grant in that particular overall solutions. So nothing surprising here, it is a learning exercise for this organization. It is a technology which is not yet matured, and we are anxious to see standards developed in this area, so that manufacturers can get behind fibre-to-the-home, and as a result of manufacturers getting behind these standards hopefully in the fullness of time improved the economies of scale associated with this type of access network technology, and topology. But we have been curiously watching what Verizon has been doing in the U.S. Something I think are very relevant from a learning experience for TELUS, particularly, as it relates to the technology, something's are different here. The fibre-to-the-home program in Verizon territory is principally an aerial program, and part of the details behind the deployment was of course to enjoy regulatory to have freedoms, or escape regulatory constraints. For us of course, we now have a forborne regulatory environment that we should be able to avail ourselves of, and of course our build is a hybrid type build that includes both in-ground and aerial. So that's what we have been up to in that regard. I think the only thing to say is that, as it relates to access network technologies on the wireline front, there is not a one time [indiscernible] solution. It is very clear to me, that we are going to need to take a hybrid approach in the years ahead and this is for the medium even the longer term, where we will have a heterogeneous aspect to our access network technology, or you will see... sometimes we will be leveraging the opportunities in new build, so as to deploy new technologies. In other areas we will be doing over builds what we call legacy technology and we will go through a progressive technology program moving from ADSL to plugs to BDSL-2 and maybe over the very-very long term fibre-into-the-neighborhood, and eventually to the home. So that's kind of our approach and I think when it's not a one-side approach, it precludes you to make sure that you have got good learning, as it relates to all the types to technology that you are deploying, before you deploy them in earnest to make sure that you can derive the type of returns that investors would expect and we are very focused on the right economics, as it relates to the right technology to support the right product portfolio.
John Wheeler - Vice President of Investor Relations: Okay Ron. Thank you, next question.
Operator: Thank you. The next question is from Dvai Ghose of Geniuity Capital Investments. Go ahead please.
Dvai Ghose - Geniuity Capital Investments: Yes. Thanks very much. Clearly you have some structural issues when competing against Rogers. Their wireless average lifetime revenue was up 24% year-over-year, in this quarter, yours was down 6%. The good news is that you have a very strong balance sheet and perhaps some of your structural issues are fixable. So, that being said what are your balance sheet priorities for '08 in terms of issues such as GSM mobily [ph], Flanker [ph] brand, migration of iDEN, fibre-to-the-home as mentioned by Glen, versus returning cash to shareholders and acquisitions?
Darren Entwistle - Chief Executive Officer and President: Okay Dvai, I really appreciate that particular fulsome question. Our priorities for 2008, I think will be very similar to the priorities that we demonstrated in 2007, 2006, and 2005 going back where we have effectively balanced our appropriate desire to invest in the future and invest in growth areas like wireless and data services and at the same time simultaneously returning cash to shareholders through two well established mechanisms and as I indicated in my remarks today, when we announced our dividend growth model four years ago, people were wondering whether it would be a recurring or non-recurring event and here we are four years later with our fourth double digit increase in a dividend, three of those increases, the percent increase on a year-over- year basis was in the 30% zone and the most recent one in the 20% zone, and of course we bought back and cancelled some 50 million shares for $2.5 billion. So in terms of what you can expect from us on a go-forward basis into the future is the continued balance of returning cash to shareholders from successful investment program that we have been able to leverage effectively, and at a same time, use our cash to appropriately invest in the continuation of the growth pieces around data and around wireless. As it relates to your specific question on things like a Flanker brand for example, obviously it's not appropriate for us to discuss any development of that sort on a marketing front within an open forum such as this. It's clearly and doing so to the benefit of our competitor rather than our shareholders. We have not been a organization that has come out said unequivocally no, we not doing things that potentially could add value in the future, but I think, we need to examine this particular development in the marketplace, and come up with the appropriate decision for TELUS. There are differences here that I think are worth noting for our competitors as it relates to a Flanker brand or discount brand. For them, it was a situation they inherited, one as a result of a new administration coming on board, the other as a result of an acquisition. That's a different decision making paradigm than what we face at TELUS in terms of whether organically this would be something that we would want to pursue. Also unlike some of our competitors it's pretty clear to me that the TELUS brand does indeed how the elasticity to address a range of markets within the Canadian context, that it has got the elasticity on the national front, it's got the type of elasticity that extends across the languages that we, of course embrace within our country, the ethnic constituencies that we embrace within our country particularly given the language that we use for a branding vehicle, and it's got the elasticity to extend to the U- segment. So, I think that's a pretty strong endorsement of our existing brand. That having being said, we are continuing to watch what's happening in respect to the evolution of the existing discounts brand that are out there. And there is lot's of them, and make the right choice at the right point in time to maximize value for shareholders at the TELUS organization. In terms of GSM upgrades, we are not going to discuss that as well. But, as I have said previously there are two sides to every technology upgrade and technology upgrades are not something that are new to the TELUS organization and we have done a myriad of technology upgrades over the last seven years. Indeed just over the last couple of years not only have we deployed EVDO, but we upgraded EVDO to Rev A, and the door footprint now covers almost two-thirds of the Canadian population. So for us this is business is usual and it's a really a decision making paradigm that says, we want to make the right technology move at the right time so that we grow economic value rather than erode it and that we don't loose that competitiveness, but we rather gain points of competitive advantage. At anytime we make a technology upgrade, we always say to ourselves what do we get for it. And whether it's store where we get a network that is seven times faster then the EVDO network to support what we want to get done on mobile computing, or music downloads, or internet services and the like, it has got to have a business rationale, and when you talk about things like GSM upgrade there are certain advantages that would be associated with that, and I think are well known to the people on this call. And whether that's time-to-market advantages or mitigating disadvantages, as it relates to foreign factors, or cost of device, and infrastructure, as it relates to economies of scale or in roaming revenues with lucrative margins. There is always opportunities to go with the investment. I think from our perspective right now, we are satisfied with the technology that we have, because we do think that the technology that we have deployed provides us with the fastest, most powerful network in the country. We are very, very pleased with the fact that we have got the ADA 30 out there within the business market. We have got the word flowing [ph] and we have now of course today are launching the probe device in terms of delivering e-mail functionality to consumers. The only thing I would say is that, if you look at our operational results, they are still best in class scholastically and in terms of where we going over the very long-term I think you will see convergence certainly at the LPE level in the 2011 to 2012 timeframe. What happens in between now and then is down to judicious balance decision making at organizations like TELUS and all I can tell you is we have a belief that what we do relates to branding, what we do as it relates to technology upgrades whether its wireless or GPON, or ADSL 2 plus on the wireline front, we balance those investment decisions with our continuing desire to still return significant amount of cash to shareholders to established vehicles.
John Wheeler - Vice President of Investor Relations: Okay Ron, next please.
Operator: Thank you. The next question is from Robert Goff from Haywood Securities. Go ahead please.
Robert Goff - Haywood Securities: Thank you very much. Can we turn to a wireline for a moment and look at the pressure on the voice local revenues, where it was $22 million on the quarter, $33 million down on year-to-date. You mentioned both lines and optional features, could you give us a view on the pressure you are seeing there on the optional features?
Robert McFarlane - Chief Financial Officer and Executive Vice President: One of the things, we referred to Rob was we had reduced revenue from those ads and changes so this relates to. As you may recall, we had an application with the CRTC wherein we would, we filed to reduce the charge for people being hooked up in return for being able to increase service charge to the whole base. The service charge increase was denied by CRTC, but we did process with the reduced or avoiding of the charge to hook up a new subscriber. If you think about it to charge someone to hook up to you is a bit counter in the face to competition. So while it did reduce revenues in this line, I think from a competitive standpoint it is right move to make.
John Wheeler - Vice President of Investor Relations: Okay, thank you. Ron.
Operator: Okay, thank you. The next question is from John Henderson from Scotia Capital. Go ahead please.
John Henderson - Scotia Capital Markets: Yes thank you. I was just wondering, if you could give an update on your TV services in terms of kind of service description what your evolution is looking like there. I just wanted to make a bit of a comment about how Verizon and AT&T are disclosing a fair bit of information on their TV services and seem to have benefited handsomely in the last year with share price increases, while the cables have suffered in terms of the board. I just wondered when we might expect to see some metrics from TELUS on subscriber's footprint, earnings, EBITDA, that sort of thing?
Robert McFarlane - Chief Financial Officer and Executive Vice President: Well John that's an interesting question at this point in the Public Canadian Telecom Market from the standpoint that of course one of our competitors, the largest telecom in Canada, Bell has been privatized. I noticed they are not even holding an Investor Call. I guess their disclosure is pretty forthright on IPTV. They were not doing it from what I just read, but in any event, I find that hard press to expect that the Bell Organization is going to start disclosing all sorts of detailed metrics on a go forward basis, as they are being privatized and therefore I think we need to be reflective of what is appropriate for our shareholders in order to value and measure performance of this organization relative to competitive disclosure. And so at this juncture we are going fine in the marketplace, but one of the advantages of the tact that we have taken is we have freed our operation from the quarterly type of microscope where one month is ARPU, last month is COA, and on a year-to-date basis we are on track. So I think that that would be my main point that the lack of disclosure is not reflective of any lack of performance, rather it has to do with a gauging of what is appropriate to disclose in the marketplace given what our competitors do. They have competitive sensitivity of that information and I think in this case given it's a nascent business the healthy aspect of avoiding near term quarter-to-quarter focus that the unfortunately the public markets often impose upon organizations?
Darren Entwistle - Chief Executive Officer and President: In terms of your question John in terms of how TELUS TV is doing. TELUS TV looking up in the full to the expectations of this organization, as it relates to the product, the functionality of the product, the performance of the product, the content that we have been able to secure on the quality of the picture, and of course right now we are going through the trials on high definition, which hopefully if things continue to go well, we will be launching commercially into the marketplace over the course of 2008. The infrastructure is performing well from a technology perspective and we are very pleased. And I think it's always a good situation when demand exceeds our ability to supply. And I could tell you right now that chronically we are in a situation, where the demand for the service exceeds our ability to supply. And the key governing TELUS TV and this is an answer that is going to remain true for several quarters to come to say the very least in the years ahead. The key governing factor right now is just the ability to expand our footprint. It takes time to expand our footprint. Deploying new technologies on the wireless front can be done much more expeditiously than deploying new technology, where you got legacy wireline technology in the access network. And so for us we just have to work our way through it. We want to do it in a judicious way and as I said previously it is really important for people to appreciate the hybrid approach that we are taking on the technology front, because I think that should resonate well with investors. So we are not saying from a homogenous perspective, we are going to go fibre-to-the-home everywhere and do a massive rip of our access network that would be prohibitively expensive. We are saying that we are going to look at every single digital serving area within TELUS and make the right decision whether it's a Greenfield new housing development that's going in the province of Alberta or new condo building that's going up in the lower Mainland, NBC or it's an overlay of existing infrastructure and key urban or semi-urban developments. We will take an approach where the technology is customized to the solution so that we can maximize the cost efficiencies associated with the technology deployment at the same time, supporting a very-very strong and differentiated product portfolio. And again I'll conclude with the statement that I have made repeatedly, my desire on TELUS TV is to compete on product based differentiation rather than price. We don't want to come into this market and amortize value by being aggressive on the price front, we want to come into this market and offer something new and different from the incumbent that people, certain constituencies that we target, we will find it attractive so that we have balanced sustainable and sensible competition and that's what we want to proliferate in Western Canada. So, they are the two book ends, smart technology choices that set the footprint and smart marketing that look to grow value rather than pull the price lever.
John Wheeler - Vice President of Investor Relations: Thanks Darren. Ron, given where we are in the call and having gone through, we are going to take one more question please.
Operator: Great. Thank you. The last question is from Jeffrey Fan from UBS securities. Go ahead please.
Jeffrey Fan - UBS Securities: Thanks very much. This is a question for Darren. And Darren I understand you don't want to discuss too much about some of your tactical moves especially in the near term but conceptually if you can just entertain us by... given the spectrum option and the spectrum option rules coming up in the very near term, conceptually as you look out to next year and even beyond, how important are these rules in terms of how TELUS behaves or acts in the market and the strategy that you want to employ?
Darren Entwistle - Chief Executive Officer and President: I think Jeff if we had a weak strategy we would always be adjusting it for exogenous events as they transpire within the marketplace. I think we have got a very robust strategy. The strategy that we set out back in 2000, one that was quite revolutionary at the time, it seems quite obvious today in retrospect, well the strategy that said, we are going to focus on two growth areas, one was wireless and the other was data, data as it relates to both wireline and wireless services. We are going to expand from regional to go national and we are going to bring cost efficiencies that are inherent services of our business, the pure growth and that's exactly what we continue to do today. I think we are pretty resilient to exogenous developments in the marketplace. If you work at the hits that we have taken over the last 7 years, whether its equity market implosions or credit market downturns, or adverse of regulatory decisions, or work stoppages, I could go on and on and on. We have been able to absorb those particular developments and drive on, execute our strategy, and grow value. The other thing I think is important is that if you look on average over the last seven years, the market in the Canadian wireless industry has been characterized by four players at the network level rather than three. So it's not like a four player industry is unfamiliar territory to us. It is familiar territory to us and we have generated very good results within a four player market and I'll highlight the fact that the ARPU leadership that we established was within a four player market. It's also interesting to note that in that era people thought there was going to be ARPU convergence. The unanimous view back in those days was that our ARPU was going to loose 10 bucks and converge with our competitors, and we said well why can't we hope for the opposite to happen where the competitors actually raise their ARPU, and join us in terms of our marketing philosophy of creating economic value for our shareholders. The other thing I think, you can expect from this organization is we continue to lobby that we have an appropriate regulatory environment. I don't subscribe to the rationale for the government to set out or facilitate or subsidize four players going to three, because I think the government's already applying in terms of their view as to how the market should be managed and how they should not interfere with the profit development of the market. The competition we have signed up, endorsed wholeheartedly, the Rogers acquisition and the Microsoft for the market to go from four to three in the first place and that's a voluminous document. That particular development was well analyzed and they gave sign off bond, resulting competitive dynamics being healthy and robust. The Telecom Policy Review Panel came out and said that we should rely on market forces and the CRTC is applying repeatedly on the quality of competition in the Canadian wireless industry in writing as public statements, saying that the market is more than sufficiently competitive and that they see no reason, no need to interfere or intervene in the market whatsoever. That's one of the reasons we don't have regulated MVNO's in Canada, because the CRTC has its doubt at that particular view. The other thing I guess, it's important to point out is if you look at the overall health of the wireless industry, it's pretty damn solid. We've got the lowest prices for consumers and businesses amongst the G7 countries as it relates to economic value of wireless for subscribers. If you look at the meaningful level of penetration the percentage of people over the age of 15 in Canada, having a cell phone is 75% and that's growing at 475 basis points of penetration year in and year out. So, I think that's pretty good going. I can remember my early days involved in wireless and all the models tapped out at 40% penetration over the very long-term. So I think the wireless industry has exceeded everyone's expectations to say the very least and I would like to ask people what's so magical in the number. What is the pre-occupation with four versus three and why do we define the quality of competition based on a number like 4. I think the quality of competition should be determined by affordability, the degree of innovation in the marketplace from a product development perspective, the competitive intensity making sure that we have fair rates, and I think the VoIP ARPU decline is an example of the degree of intensity in the marketplace and just how sustainable is the competition. I can tell you back in the wireline, Dave when competition was introduced, we had 8 or 9 players in the marketplace but of course that was not a sustainable competitive model and we saw a lot of rationalization transpire as a result. So, what's the magic on our number, why don't you look at high speed internet access in Western Canada. High speed internet access in Western Canada is effectively a duopoly. Here we have the second highest penetration rate in the world, as it relates to internet coming into people's homes and that effectively is a two player ph] market. So, I think it's a quality competition and the innovation and the sustainability that matters. And so with four it does come to fruition. I think what you can expect from us, effectively is more the same. We will push hard on wireless, we'll push hard on data across wireless and wireline. We'll invest prudently for the future, to support those growth tenants. We got to keep one eye gainfully occupied and we need efficiencies out of this business, and we will continue to honor our commitment to balance our ability to invest so that we have future J curve opportunities and growth is not a non-recurring story at TELUS but, something that we presume perpetuity and some opinion being made to make sure that the fruits of our labor get continued to be returned to shareholders in the form of NGIP program and the dividend growth model.
John Wheeler - Vice President of Investor Relations: Okay, Thank you very much Darren and on that note, I think we will just thank you very much for taking the time to join us today. We know it's a very busy reporting season for you and we appreciate your interest and continued support of TELUS and we look forward to working with you in the coming weeks and months.
Darren Entwistle - Chief Executive Officer and President: Thank you.
Operator: This now concludes the TELUS third quarter 2007 earnings conference call. On behalf of myself and the rest of the conferencing team, thank you from TELUS.